Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Turtle Beach Second Quarter 2024 Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow prepared remarks presentation. As a reminder, the conference is being recorded. I'll now turn the call over to [Joss Kurnette] from Investor Relations team. [Joss] you may begin.
Unidentified Company Representative : Thank you, operator. On today's call, we'll be referring to the press release filed this afternoon that details the company's second quarter 2024 results, which is available on the Investor Relations page at www.turtlebeach.com, where you'll also find the latest earnings presentation that supplements the information discussed on today's call. Finally, a recording of the call will be available on the Events and Presentation section of the company's website later today. Please be aware that some of the comments made during this call may include forward-looking statements within the meaning of the federal securities laws. Statements about the company's beliefs and expectations containing words such as may, will, could, believe, expect, anticipate similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding the company's operations and future results that could cause Turtle Beach Corporation's results to differ materially from management's current expectations. While the company believes that its expectations are based upon reasonable assumptions, numerous factors may affect actual results and may cause results to differ materially. So the company encourages you to review the safe harbor statements and risk factors contained in today's press release and in its filings with the Securities and Exchange Commission, including, without limitation, its annual report on Form 10-K and other periodic reports, which identify specific risk factors that also may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this conference call. The company also notes that on this call, we'll be discussing non-GAAP financial information. Company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results and the reconciliation tables provided in today's earnings release and presentation. Hosting the call today are Cris Keirn, Chief Executive Officer; and John Hanson, Chief Financial Officer. With that, I'll turn the call over to Cris. Cris?
Cris Keirn : Thanks, [Indiscernible]. Good afternoon, everyone, and welcome to our second quarter 2024 earnings call. Before we get into the financial results, I'd like to take a moment to acknowledge an important milestone. You've all seen the announcement today that our esteemed Chief Financial Officer, John Hanson, has informed us of his intent to retire. John has been an integral part of our leadership team and his contributions have been invaluable to our success. I personally have enjoyed a tremendous partnership with John, and we wish him all the best in retirement. Turning to results. I'm pleased to share that the continued momentum in our business drove very strong second quarter results that reflect the ongoing success of our portfolio and cost optimization initiatives combined with our transformational acquisition of PDP. As a newly combined company, we are in the early stages of gaining scale and diversification advantages that enable us to expand our leadership position across categories. Our unwavering commitment to innovation, world-class execution and sustained growth sets us apart in a highly competitive gaming accessories market. Our Q2 results reflect this commitment. Robust revenue growth for the quarter was driven by higher demand for our leading products, even as we reduced promotional spending as planned. To that end, second quarter revenue was $76.5 million, up roughly 59% year-over-year, which included our first full quarter of PDP contribution. Even excluding PDP contributions, revenues were up 15% compared to last year. Turning to the performance of the gaming markets driving the revenue growth. We see that gaming accessory markets have outperformed the low single-digit growth for the overall U.S. gaming industry so far in 2024. According to Circana, the overall U.S. gaming accessories market value is up approximately 5% for the first half of 2024 compared to the first half of 2023. U.S. gaming headsets and third-party controller markets are exceeding overall accessory growth year-to-date, up approximately 12% and 15%, respectively. We believe this growth is due to the start of pandemic era replacements along with upgrade purchases for new models and features. We expect both factors to drive continued gaming accessories growth in the foreseeable future. As a leader in these categories, we continue to contribute to driving market growth with our newly launched wireless headsets, premium controllers and PC peripherals across Turtle Beach and PDP. For example, in the first full month of sales after launch, the Turtle Beach Stealth 500 for Xbox and the Stealth 600 Gen 3 for Xbox, we're the number two and number four best-selling headsets in the U.S. for June. Both new models have received an abundance of praise from fans and reviewers alike with each named as best wireless gaming headsets by IGN and other notable games industry and tech review publications. We also debut the highly lauded Atlas Air as the industry's first wireless open back gaming headset, which IGN gave a 9 out of 10 review score and added to their best gaming headsets for PC List, calling it one of the most unique headsets out there. Additionally, PDP's RIFFMASTER wireless guitar controller launched in April, coinciding with Epic's Fortnite Festival season 3 instrument compatibility update and has quickly become the industry's best-selling music controller in the U.S. as reported by Circana. In May, we also introduced a full line of Turtle Beach branded PC gaming gear, furthering our reach into the massive $3.9 billion PC peripherals market. Our latest PC products introduced groundbreaking features in their respective categories and are headlined by the highly responsive and customizable Vulcan II TKL Pro keyboard, incredibly lightweight Burst II Air mouse, and our ergonomic masterpiece, Kone II mice. We continue to make excellent progress in operational efficiencies across all aspects of our business as we delivered substantially improved profitability in the quarter, including a significant 540 basis point gross margin expansion compared to the same quarter in 2023. Adjusted EBITDA was $3 million during the quarter, an improvement of $8.7 million compared to the same quarter last year. With our enhanced profitability in the first half of the year, we are raising our full year 2024 adjusted EBITDA guidance to a range of $53 million to $56 million. John will provide additional details on our financial results. Since acquiring PDP in March, we've made rapid progress on integration which we are continuing to execute ahead of schedule. Feedback from retail customers and other industry partners of the high potential for our combined company has been overwhelmingly positive, and we're already realizing synergies and expanding market opportunities. In addition to the clear benefits from our PDP acquisition, we are continuing to drive margin expansion from our previously communicated initiatives of SKU rationalization, portfolio optimization and our platformed next-generation product launches. These improvements have all accelerated our ability to generate strong cash flow from operations. Given the strength of the balance sheet, our outlook and our view that our share price offers a compelling value, we repurchased approximately $15 million of our stock during the second quarter. This is the largest repurchase in our history and underscores both our confidence in Turtle Beach's trajectory and our commitment to enhancing shareholder value. We believe in our vision, and we are putting our resources behind it. John will now take us through the financials in more detail. John?
John Hanson : Thanks, Cris, and good afternoon to everyone. Before I begin with the financials, let me say how enjoyable it has been for the last 11 years to have the pleasure of being part of the Turtle Beach team as we built a world-class company. I'm incredibly thankful to the thousands of employees, customers and shareholders who help make this company the success that it is today and a very special thanks to my co-executive officers and Cris as well as our entire global leadership team and board. The partnership we have developed has been extraordinary. As evident in our results, the organization is executing very well, and it is an opportune time for me to transition to this next phase. Now on to the quarter we go. As Cris mentioned, revenue in the second quarter grew 59% year-over-year to $76.5 million. As a reminder, the second quarter is the very first full year -- or full quarter with PDP results. The 59% increase in revenue was primarily driven by PDP and our non-PDP revenue grew a very healthy 15% year-over-year. The organic non-PDP growth was driven by increased sales of our controller and headset products. As a reminder, in the first quarter, headset revenue was down year-over-year as we deliberately reduced channel inventory levels ahead of the launch of our new wireless headsets and rebranded PC accessories. In Q2, that trend turned as we anticipated, and we experienced a positive impact from the launch of these products. Gross margin in the second quarter was 30.2% compared to 24.7% last year. That equates to a 540 basis point improvement. The margin improvement is being driven by lower product cost from our product platforming and optimization initiatives, lower freight costs and more efficient promotional spend. As we stated on the last earnings call, we expect to begin realizing lower product costs with the launch of the new wireless products and PC accessories rebranding in Q2. This improvement in margins is expected to continue going forward as the mix shifts to the new products. Operating expenses in the second quarter were $27.2 million compared to $27.7 million a year ago. This year, the quarter included $1.4 million in costs related to the PDP acquisition. Excluding these non-recurring acquisition-related cost, second quarter operating expenses declined approximately 7% year-over-year. On a relative basis, operating expenses, excluding the acquisition-related and non-recurring costs were approximately 33% of revenue, which is an improvement from 49% in the prior year. This change primarily driven by our ongoing proactive efforts to achieve a better balance between revenue-enhancing initiatives with our expense management goals. The result of higher revenues combined with greater efficiencies on cost and expenses is that second quarter adjusted EBITDA improved by $8.7 million to a positive $3 million versus an adjusted EBITDA loss of $5.7 million in the year ago period. On an LTM basis, adjusted EBITDA is approximately $20 million. Turning to the balance sheet. At quarter end, we had net debt of $61.2 million comprised of $73.6 million of outstanding debt and $12.5 million of cash. The debt balance is comprised of $24 million outstanding under our revolving credit line and $49.6 million outstanding on the term loan we used for the PDP acquisition. Inventories at quarter end were $73.3 million compared to $67.8 million a year ago. PDP added $23.8 million to inventory and this addition was partially offset by our continued reduction initiatives in non-PDP product inventory. As Cris touched on, during the quarter we repurchased approximately $15.2 million of our shares. This was the largest repurchase of our shares we've made in our history. We bought just shy of 1 million shares at an average price of $15.97 per share. Looking forward, as the business continues to generate cash, the board is focused on evaluating all options for redeploying capital, including additional share repurchases. As we always have, we will continue to invest in our existing business -- in our existing business. In addition, we remain committed to returning excess cash to shareholders through share repurchases. To that end, to provide additional flexibility for repurchases going forward, we have successfully negotiated amendments to our credit agreements that allow for the establishment and implementation of a rule 10b5-1 plan. This plan provides us with a formulaic share repurchase option. Lastly, over the long term, we also believe that the right acquisitions remain a component of our capital allocation strategy as long as they make sense strategically and are immediately accretive to earnings and generate value for our shareholders. Now turning to guidance. We continue to expect full year revenue to be between $370 million and $380 million, which equates to a 45% growth compared to 2023. With a strong first half of the year behind us and the PDP integration underway, we are raising our full year adjusted EBITDA guidance for 2024. We expect full year adjusted EBITDA to be between $53 million and $56 million, which increases the midpoint to $54.5 million, up $2 million from our prior guidance. As a reminder, our 2024 guidance includes contributions from PDP beginning on March 13, 2024, when we closed the transaction. And now I'll turn the call back over to Cris for additional comments. Cris?
Cris Keirn : Thanks, John. In summary, we're pleased with our strategic progress and results for the first half of the year and remain optimistic that we will continue to realize additional benefits and synergies with our recently combined teams. We continue to prioritize value creation for our shareholders and best-in-class products for gamers everywhere. Looking ahead, we're excited about our upcoming product launches, continued gains and strategic advantages from the PDP integration, and our ongoing efforts to maximize profitability and cash flow. I want to express my gratitude to our amazing team members who work tirelessly to achieve our strategic goals. We've had a great first half of the year and the hard work and passion of every one of our team is instrumental in our success. And to our investors, thank you once again for your trust and support. With that, operator, we can open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Sean McGowan of ROTH. Your line is now open.
Sean McGowan : Thank you. Thanks, everyone. Before I get to the questions, I just wanted to say, John, it's been an absolute pleasure working with you in multiple capacities over the years. And while I'll be sorry to see you go, I'll be happy to see you [Indiscernible]. So, congratulations.
John Hanson : Thanks, Sean.
Sean McGowan : Yeah. A couple of questions. Would you say -- Cris, would you say that the retail inventory now is balanced? Or could we see some additional inventory kind of restock flowing into the third quarter as well?
Cris Keirn : Yeah. Great question, Sean. We see what you did there, by the way. Great comment for John. So, yes, the retail channel right now is in really healthy shape. We've had the transitions in Q2 where we pretty much strained the channel and then reloaded it within wireless and the new PC products. We're pleased with how our RIFFMASTER inventory is looking in the channel. That's coming back up. So it's really balanced right now out there at retail globally. So we're through sort of all of the unwinding that we've had over the past few years and some of the pandemic impacts. So I think that when we think about channel inventory, we feel like it's at the right level right now and that retailers are feeling good about the levels that they're carrying at the moment.
Sean McGowan : Okay. But not increasing their appetite necessarily -- relative to sales.
Cris Keirn : That will come -- at the end of Q3 and as you get into Q4, this is where it will be interesting to see what happens this year. Historically, the last couple of years, the holiday is pushed later. As you know, the last two weeks of the year -- last year we were really strong. So it would be interesting to see how retailers react to that. We always see some revenue move around between Q3 and Q4. I think we could see that again this year as retailers have kind of waited and consumers have kind of waited to purchase more than historical. So that will be interesting, but we're ready to go for the back half.
Sean McGowan : Okay. John, a couple of kind of detailed financial questions. So how much additional transaction expense and additional inventory step-up is left to kind of flush through the P&L for the balance of the year.
John Hanson : So relative to the PDP inventory step-up, it's as we -- it's detailed in the Q. But in the quarter, it was $1.2 million, $1.3 million actually rounded up. $1.251 million was the step-up in Q2 and for the balance of the year, it's probably in the $900,000 to $1 million range.
Sean McGowan : Okay. Is the Q out today? It wasn't out a little while ago.
John Hanson : It should be out unless the SEC is behind, but it was filed. So look, our gross margins, excluding the PDP step-up, for the quarter were 31.8%. But what you'll see in the Q is that, in addition, we did book an inventory reserve in the second quarter for the ROCCAT -- for inventory -- an inventory reserve for the ROCCAT rebranding that totaled approximately $1.6 million. So when you take and adjust out those two non-recurring items, our gross margins were 34% for the quarter. And so as we've said, as we get to the next generation through our product platform and our margins, we're going to be getting back into the mid-30s. So when you adjust for these two items, we're at 34% for Q2, and we only had a portion of the quarter with the lower cost products associated with the wireless launch, which happened late in the quarter. So we're -- we feel that we're very -- very well positioned from a margin perspective.
Sean McGowan : Okay. And I'm glad you brought up that adjustment of the 34%. So if you look at that number, as kind of what it would look like without those adjustments, would you say that PDP was accretive to the overall margin? Or did it bring it down? Or was it neutral.
John Hanson : I think it's relatively neutral.
Cris Keirn : Yeah, it's relatively neutral.
John Hanson : The categories we play in, a lot of similarities. That's been part of the reason that we've been able to really realize more quickly than we anticipated. Some of the integration work has been completed and some of those synergies have come in, very similar categories, very similar kind of operations. Really appreciate the PDP team and their efforts coming in here, has been a very positive experience and they've done a great job. So I think the -- how similar the businesses were prior to the acquisition, we're kind of seeing that flowing through in the gross margin line as well.
Sean McGowan : And back to the earlier question, should we be looking for additional transaction expenses to be run through the P&L from this point forward?
John Hanson : That'll be integration related, but yeah, that work is ongoing. As we've stated in the past, right, that integration work will be will be ongoing throughout the year 2024. So there will be some additional -- there will be additional expenses we sort out real estate and other things.
Sean McGowan : My last question for you, Cris, is should we read anything into the fact that the average price paid for the shares we purchased in the quarter was higher than the upper end of the previously announced [Indiscernible] range?
Cris Keirn : I think it's a function of timing. We had -- we were purchasing in the available open window for the company. And so -- and we want to continue to make those purchases as we've said in the comments. So no, I don't know that I would read anything into it. I think that we feel good about where the stock price will be, and we have high confidence in our ability to execute against that. So particularly where we are today, we think there's a ton of value to be had, and that's why we're looking to continue to be opportunistic about repurchases.
Sean McGowan : Great. Thank you very much. Appreciate it. And again, congrats John.
John Hanson : Yeah, thanks, Sean.
Cris Keirn : Thanks, Sean.
Operator: Thank you. Our next question comes from the line of Drew Crum of Stifel. Your line is now open.
Drew Crum : Thanks. Good afternoon. And John, congratulations and best of luck to you. I think you mentioned the integration of PDP on a couple of occasions is ahead of schedule. Any specifics you can provide? And is this in any way influencing your guidance upgrade for EBITDA. And related to PDP, the hardware sales for Nintendo have been pretty weak year-to-date, and we typically see consumption wane at the end of a hardware cycle. I'm curious if you're seeing anything in the PDP business as we go into the second half, is it languishing? Is it -- is the demand still there? Any color there would be helpful. Thanks.
John Hanson : Sure. Thanks. Great questions. When you look at the integration work so far with PDP. As I mentioned, it's been a really collaborative effort with the teams, which we totally appreciate from a management perspective. We've been able to complete a lot of the system integration work, a lot of the negotiations that we've had with our retailers and our distribution partners and the end-to-end portfolio work, we've talked a lot about portfolio optimization. We've gone through that with the Turtle Beach and ROCCAT business over the last year. We're through a good portion of that already with the PDP business. And part of that's been the great participation and work between the teams here to really come to those conclusions, make decisions quickly on how to move forward with the combined portfolio. So that's really what's running ahead of schedule for us. We didn't anticipate we'd be as far along that path as we are as we sit here today. So -- and we think that, that does open up for us some potential future upsides there as we really dive into the business and look for those costs and those revenue synergies. So -- so that's sort of related to that. And as far as influencing the guide, there's a portion of that in there, right, that we were able to realize some of those a bit sooner than we thought. That's contributing to the raise here for Q2. On the second question around Nintendo, you're right. Any time we've seen this in every hardware cycle, as you get closer and gamers are out there anticipating the next hardware showing up, Nintendo is going through that right now. The underlying strength of that Nintendo business is still very strong, but you're going to see a dip more than likely on some of the businesses as it gets closer. Fortunately, PDP's business is very well diversified across all of the platforms, and we're seeing some really strong progress from the controller side of things on the premium controller front, the new RIFFMASTER. There're multiple products, including [Indiscernible] platforms that are allowing the PDP business to track as we hoped it would. But there likely will be a little bit of a dip on the Nintendo side as people wait to see what that new hardware looks like and what the timing looks like. But that's already built into the guidance for the year.
Drew Crum : Got it, okay. Very helpful. Thanks, guys.
John Hanson : Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Alicia Reese of Wedbush Securities. Your line is now open.
Alicia Reese : Hey, guys. Congrats, John. A nice quarter, everyone. I wanted to see if we could get a little bit more color on the different segments on a qualitative basis. I'm just seeing what you're thinking about the headset. I know there's a little information in the -- in the deck on the market share. But if you could just talk about the market in general and your market share position within each category, including the sims, that would be really appreciated.
Cris Keirn : Sure. Thanks for the question, Alicia. So when you look across the different categories, headsets continue to be sort of our strongest contributor to revenue, but controllers are certainly growing within that mix. You kind of look ahead, if you recall in the past, we've talked about like an 80:20 split between our core headset business and everything else. That's certainly shifted with the acquisition and with some of our expansion in the other categories, it's much more where you're going to be somewhere in the 50% to 55% range for our core business with nearly half of the business coming from other categories. So we feel really good about that diversification. And that's one part of the benefits of combined company now with PDP. Looking at those categories, accessories are definitely performing stronger than the broader gaming segment. The broader gaming segments having some challenges on hardware, as you know, this year. It's still up. The segment is up low single digits, but accessories are up about 5%, and this is U.S. data, which is a pretty good proxy, I would say, for the rest of the business. And headsets are exceeding that growth. They're up 12%. Our shares dipped slightly on headsets in the first half of the year as we knew it would, as we essentially drained the channel for several months there and we're replenishing, and we're really happy to see what happened in June. We were back to positive share growth in June as we launch the new products, as I mentioned, with the 500 and 600 getting out there. So that segment is doing extremely well for us. And as we head into the back half of these new products, we're feeling really good about our positioning there. Controllers, next biggest segment for us. Really strong business here, really driven by premium controllers for us. The PDP BFG controllers across a couple of platforms and our own Stealth Ultra, all performing very well in that segment and driving growth and driving share growth for us. Third-party controllers are up 15% for the first half year-over-year. That's one of the strongest segments and we're driving a good portion of that growth. So we're gaining share there. We're well up over, I think, over 300 basis points of share growth in the first half. So those are the two primary categories for us. You look at PC, we're holding pretty steady on the PC front, and we're growing on the headset side. We've launched new PC headsets. We've got good placements of those products. We do anticipate to see some growth there in the back half, along with our new mice and keyboard products. And then finally, I think you asked about simulation. We've had some growth in the flight -- from a share perspective in both categories on the flight sim side, we're up -- it's roughly 20% to 25% share in that range for the U.S., and we still have the number one SKU in that category. And then we just recently entered the racing category, single SKU, very early days for racing for us and we'll continue to build that category out.
Alicia Reese : Thanks. I appreciate all that color. And one other, if I may. Regionally, if you can talk as well about the uptick in North America versus EMEA holding relatively flat year-over-year and then in some declines in Asia. We've seen some declines throughout Asia from all your competitors as well, so that's no surprise. But if you could talk about the the uptick in North America in terms of the different categories, particularly how much, at least qualitatively was from PDP, appreciate that as well.
Cris Keirn : Sure. Yeah. Great question. And it's something we keep a close eye there on what's happening regionally. For us, we have very little exposure to Asia. Our revenues are up slightly in Asia year-over-year, but it's low single-digit percentages of our total business. So that hasn't really impacted us on the slowness there. For the Americas, with the acquisition of PDP, it has become a slightly higher portion of our business anywhere from 70% to 75% depending on timing of the business flowing through the Americas and then roughly 25%-or-so through Europe. So that's the rough breakdown. But we're seeing strength in the U.S. market for gaming. And so with our high concentration of business there, that's playing well for us.
Alicia Reese : Excellent. Thanks so much.
Cris Keirn : Thank you, Alicia.
Operator: Thank you. Our next question comes from the line of Andrew Northcutt of Oppenheimer. Your line is now open.
Andrew Northcutt : Hi, guys. This is Andrew on for [Indiscernible]. Thanks for taking question. Just one quick one from me. You guys have made pretty good progress on your kind of ongoing proactive expense management. So how should we think about the runway from here for incremental expenses going forward? Thanks.
John Hanson : Sure. Great question. It's something we're going to continue to focus on. This is an ongoing process for us. We've made some great progress there, and a lot of that is around the portfolio and our cost of goods, looking through our end-to-end supply chain and then also focusing on OpEx, right? And we think on top of all of that, we've got synergies that we're working on the integration -- so we'll continue to realize those savings. We believe that there's more opportunities there. We've got some great operational efficiencies going, and we've actually introduced some new tools and technologies to help the teams perform better. And we believe that all of those are going to continue to yield results for us and drive that cost structure and keep it low.
Andrew Northcutt : Thank you.
John Hanson : Thanks, Andrew.
Cris Keirn : Yeah, thanks Andrew.
Operator: I am showing no further questions at this time. I would now like to turn it back to Cris Keirn for closing remarks.
Cris Keirn : Thank you, operator, and thank you, everyone, for joining us. Have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.